Jeremy Price: All right, we've given everyone a few minutes or about a minute to get onboard here. Good evening, everyone. I'm Jeremy Price, MicroStrategy's Senior Vice President of Financial Planning and Analysis and Head of Investor Relations. I'll be your moderator for MicroStrategy's 2021 First Quarter Earnings Webinar. Before we proceed, I will read the safe harbor statement. Some of the information we provide during today's call regarding our future expectations, plans and prospects may constitute forward-looking statements. Actual results may differ materially from these forward-looking statements due to various important factors, including the factors discussed in our most recent 10-Q filed with the SEC. We assume no obligation to update these forward-looking statements, which speak only as of today. Also, during today's call, we will refer to certain non-GAAP financial measures. Reconciliation showing GAAP versus non-GAAP results are available in our earnings release and presentation, which were issued today and are available on our website at www.MicroStrategy.com. I would like to welcome you all to today's webinar, and let you know that we will be taking questions using the Q&A feature at the bottom of your screen. You can submit questions throughout the webinar, and Michael or Phong will answer them at the end of the session. Please be sure to provide your name and your company's name when submitting your questions. And with that, I will turn the call over to Michael Saylor, Chairman and CEO of MicroStrategy.
Michael Saylor: Thank you, Jeremy. Hi, I'm Michael Saylor. I'm the Chairman and CEO of MicroStrategy. I'd like to welcome all of you to today's webinar regarding our 2021 first quarter financial results. I'm here with Phong Le, our President and Chief Financial Officer. First, I'd like to pass the floor to Phong, who is going to provide an update on our operations and finance for the quarter.
Phong Le: Thank you, Michael. I'll start with our first quarter performance. MicroStrategy delivered one of our best quarters in recent history with impressive results across the board as we continue to execute well against each of our strategic priorities. Q1 was our third consecutive strong quarter, which demonstrates that we're seeing real momentum in the enterprise analytics software market and that the product improvements we made over the last five years and operational changes we undertook in the first half of 2020 have fundamentally improved our enterprise analytics software business. Total revenues in the quarter grew 10% or 8% at a constant currency basis compared to the first quarter of 2020, which is our strongest quarterly performance in five years. While we clearly benefited from a favorable comparison due to COVID-19 in Q1 of 2020, we had a strong quarter throughout the software business. Product licenses revenue grew 69% year-over-year, but more impressively it grew 16% versus the first quarter of 2019. Subscription revenues in the quarter were up 26% compared to the first quarter of 2020. Subscription billings grew 19%, our fourth straight quarter of double-digit billings growth. Operating loss was $183.2 million, which includes an impairment charge of $194.1 million related to the accounting treatment of our Bitcoin holdings. Non-GAAP operating income was $18.7 million, an increase of $15.6 million or 514% year-over-year. Overall, we benefited from an attractive sales flywheel that reflects improvement in our marketing and go-to-market efficiency and the product investments we have made to modernize the client experience with solutions like Library, Dossier and HyperIntelligence, as well as further investments in enterprise capabilities like Workstation and our open APIs. We saw a positive impact on our enterprise analytics software business from our Bitcoin acquisition strategy, which has elevated the overall profile of MicroStrategy and further reinforced our position as a modern forward-leaning company. We are in the early stages of this cycle and are hopeful it will be a sustained benefit for our software business in future periods. Our first quarter results represented a strongest operational performance we've delivered in years. We delivered impressive results across all dimensions of the software business, whether it was products growth, subscription billings growth, consulting revenue growth, renewal rates, non-GAAP operating margin or cash flow. Employee engagement and retention rates also are at their best in years. Our focus is to continue building on the momentum that we recognize that our software business regularly experiences some quarter-to-quarter variability. Looking at our performance in more detail, we had a healthy mix of new customer wins upsells to existing customers and conversions of on-premise deployments to cloud during the quarter, moving more aggressively towards the digital transformation and leveraging cloud technologies for business intelligence, our growing areas of focus and IT investment for certain customers. At the same time, we've benefited from improved demand from on-premise customers, which drove our recent product license revenues performance. There is a sizeable segment of customers who are not in a position to move to the cloud or years away from adoption who need modern open enterprise BI solutions to improve their business performance. While we expect to see our mix of business continue to shift towards the cloud, we believe our ability to add value for customers regardless of how they want to deploy MicroStrategy is a positive. An exciting area for us is our embedded OEM business. This is one of our key focus areas, and we were seeing growing interest from existing OEM customers, as well as new customers looking to leverage the performance and scale of the MicroStrategy platform and their own products. We believe this is a significant growth opportunity for us as software application providers need best-in-class analytics capabilities built natively into their solutions. We're investing resources in this area and are excited about the opportunities ahead of us. HyperIntelligence continues to be an important entrée into new customers and as an important indication to customers of our new product innovation. Hyper.Now is our SaaS version of HyperIntelligence and it has seen an increased adoption as well as serving us the foundation of our future enterprise BI SaaS offering. What we believe makes our top-line performance even more impressive is the efficiency with which we're generating this growth. As noted earlier, product license revenues grew 16% since Q1 2019 and subscription revenues have grown 40% over that time, which we've done while reducing sales and marketing expenses by $10.6 million or 22% during that same period. We're very pleased by the continued improvements we're making to our virtual demand generation and customer engagement efforts. Now that we've had success in moving to a fully virtualized go-to-market operation, we're able to seek increasingly creative and proactive approaches and how we leverage the improved flexibility, greater reach and broader market coverage this model allows. MicroStrategy World, which we held virtually in, early February, was the tremendous success. The number of attendees was up nearly 5x to over 12,000 and we were able to deliver 175 hours of live and prerecorded content over the course of a couple of days. One of the greatest benefits of a virtual event is the customers and prospects are not tied to specific times to engage with our content. Many have continued watching videos from the conference after the formal event was completed. Some of the key product enhancements we unveiled during world include Hyper Now, Hyper SDK, HyperVision the MicroStrategy application, new gateways and drivers, and even faster enterprise grade performance. Our ability to generate faster and more iterative product development cycles is allowing us to deliver greater value more quickly than ever before. Our customers are giving us great feedback on our recent innovations, which is an important part of our growth strategy. The most highly anticipated and well attended session in MicroStrategy World was our Bitcoin for Corporations track, which had more than 8,000 attendees and more than 1 million aggregate video views of our content online. As part of this track, we unveiled the Bitcoin for corporations playbook, where we compile the key lessons we've learned as the world's largest public company holder of Bitcoin for any corporation interested in adding Bitcoin to their balance sheet. We believe it is important for us to share what we've learned in the past year, so that it becomes easier for organizations that want to benefit from a digital asset strategy. We continue to have success with our Bitcoin acquisition strategy in the first quarter, an important part of that strategy is acquiring capital we can deploy. To that end during the first quarter, we completed a second convertible notes offering, this time selling $1.05 billion in aggregate principle amount of notes, and even better terms than our first convertible notes offering with a 0% coupon and 50% conversion premium. With this new capital, we acquired an additional 19,452 Bitcoins for $1.026 billion or approximately $52,765 per Bitcoin. Overall in the first quarter we purchased 20,857 Bitcoins for $1.086 billion or $52,087 per Bitcoin, and ended the quarter holding 91,326 Bitcoins at an average price of $24,214. Bitcoin price more than doubled during the first quarter. We estimate that current market value of our Bitcoin holdings now exceeds $5 billion, including $3.1 billion of unrealized gains. We'll continue to deploy additional capital into our Bitcoin acquisition strategy. Before going into a detailed review of our financial performance, let me finish by saying how pleased we are by our performance against our key priorities. Operationally, we're realizing the benefits of the investments into the enterprise analytics software business, which is leading to both improved revenue growth, increased customer satisfaction and increased profitability. At the same time, our Bitcoin acquisition strategy has generated substantial value for shareholders and elevated MicroStrategy to a global leader in the Bitcoin market. These successes have allowed us to reinvest in our employees leading to the best employee retention and satisfaction engagement in years, which we're very proud of. We believe our two corporate strategies are proven to be complementary. The increased visibility and thought leadership from our Bitcoin acquisition strategy is driving an increase in inbound software leads. We believe we are in the early stages of these trends and that there continues to be meaningful opportunities for further improvement in each strategic area. Turning to our first quarter 2021 financial results in more detail. GAAP revenues for the quarter were $122.9 million, up 10% year-over-year, and up 7% from the first quarter of 2019. Product license revenues were $21.3 million in the first quarter of 2021, up 69% year-over-year and up 16% from the first quarter of 2019. Subscription services revenue in the first quarter of 2021 were $10 million, an increase of 26% year-over-year. The growth in subscription services revenues reflects the growing portion of our product bookings that are related to our managed cloud platform. Our current subscription billings were $9.5 million, an increase of 19% from the first quarter of 2020. We're pleased with the performance of our cloud business in the quarter. Product support revenues were $70.6 million in the first quarter of 2021, a 1% decrease year-over-year. The year-over-year decrease was primarily the result of customer conversions to subscription or term licenses. Our renewal rates remain strong this quarter and we're executing our strategy to actively migrate customers to annual term licenses. As we continue to execute on this strategy, product support revenues will continue to move to subscription revenues if customers transitioned to the cloud or to product license revenues if the customer converts from an on-premise perpetual to on-premise term license. Finally, other services revenue of $20.9 million in the first quarter of 2021, which largely reflects our consulting services increased 6% year-over-year. Despite the necessity of providing remote delivery of our services to customers due to the pandemic, we were very pleased with the results of our consulting business. Total deferred revenue on March 31, 2021 was $213.5 million. This was up 13% year-over-year, primarily due to a 104% increase in deferred subscription services and 5% increase in deferred product support revenues. Foreign currency translations positively impacted deferred revenue by 2%, particularly in support revenue. As we see more existing customers convert to our managed cloud platform, there's a shift from deferred product support revenues to deferred subscription services revenues. Total GAAP expenses were $306.1 million in the first quarter of 2021, which includes a digital asset impairment charge of $194.1 million. Currently our Bitcoin holdings were considered indefinite-lived intangible assets under applicable accounting rules, meaning that any decrease in their fair value below our book value for such assets at any time subsequent to their acquisition requires us to recognize impairment charges. Total non-GAAP expenses were $104.2 million in the first quarter of 2021, a 4% decrease year-over-year. The year-over-year cost decrease is driven by efficiencies and staffing, reductions in corporate travel and a reduction in the number of in-person events, such as MicroStrategy World. Total GAAP operating loss was $183.2 million in the first quarter of 2021 inclusive of an impairment related to Bitcoin of $194.1 million and stock-based compensation expense of $7.7 million. Total non-GAAP operating income was $18.7 million in the first quarter of 2021, a $15.6 million increase year-over-year. We're pleased with our non-GAAP operating income. We continue to expect non-GAAP operating income of $70 million to $90 million for the full year 2021. Turning to the balance sheet, we ended the quarter with $82.5 million in cash. We issued $1.05 billion in aggregate principle amount of convertible note bearing an interest rate of 0% and a conversion premium of 50% or an initial conversion price of $1,432.46. The net proceeds from the sale of the notes were approximately $1.03 billion after deducting the initial purchasers' discounts and commissions and customary offering expenses. In accordance with the company's corporate strategy of acquiring Bitcoin, we used the net proceeds from the sale of the notes to purchase Bitcoin. The carrying value of our Bitcoin holdings as of March 31, 2021 was $1.9 billion, which reflects the $264.8 million cumulative impairment charge. That also is reflected as a loss on our GAAP income statement and the period incurred. We exclude the quarterly impact of Bitcoin impairment charges from our non-GAAP operating income and non-GAAP diluted EPS calculations. As mentioned previously, we estimate the current market value of our Bitcoin holdings now exceeds $5 billion, reflecting $3.1 billion of unrealized gains when compared to the carrying value of our Bitcoin in March 31, 2021. We continue to actively manage our balance sheet and pursue our corporate strategy of acquiring and holding Bitcoin. On April 5, 2021, we announced the purchase of an additional 253 Bitcoins for $15.0 million at an average price of approximately $59,339 per Bitcoin, inclusive of fees and expenses. On April 12, 2021, we announced that going forward our non-employee directors will receive all fees for their services on the company's board in Bitcoin instead of cash. An improvement in Bitcoin is a form of compensation for board service; the board decided its commitment to Bitcoin given its ability to serve as a store of value supported by a robust and public open source architecture, untethered to sovereign monetary policy. Going forward you should expect that we'll purchase additional Bitcoin when our cash, cash equivalents and short-term investments exceed current working capital requirements. And we may from time to time subject to market conditions issue debt or equity securities and capital raising transactions with the objective of using the proceeds to purchase Bitcoin. We view our Bitcoin holdings as long-term holdings and we do not plan to engage in regular trading of Bitcoin and have not hedged or otherwise entered into derivative contracts with respect to our Bitcoin holdings, though we may sell Bitcoin in future periods as needed to generate cash for treasury management and other general corporate purposes. We're making significant progress on our two corporate strategies of growing our enterprise software analytics business and acquiring and holding Bitcoin. The continued investment in our technology, our people and our processes has laid the foundation for us to execute on these strategies. We're encouraged by our recent performance over the last three quarters in spite of the COVID-19 pandemic and given that the fact that we are still in the early stages of our cloud transition and our Bitcoin acquisition strategy. We're looking forward to continued progress in 2021. I'll now turn the call over to Michael to discuss observations from MicroStrategy World, our Bitcoin acquisition strategy and provide additional feedback on our outlook for 2021.
Michael Saylor: Thank you, Phong. I'd like to say a few things about marketing. We, over the last 12 months, have digitally transformed our sales marketing and our services operations. So I'm really pleased that the advances we're making in marketing on our – our website has grown from being just a small part of our marketing strategy to being the greater part of our marketing strategy. And if you go to the MicroStrategy.com website, you'll see that you can sign up, you can get tech support, you can learn about any one of our products, you can get education, you can learn as an investor anything you need to learn, you can find out about jobs. In essence, the website has become a streaming on demand version of the company's sales force marketing function, and even its executive team. Our website had 281% growth in new accounts created year-over-year, so an extraordinary boost in our engagement with customers and prospects. You all, of course, know we converted MicroStrategy World into an on demand virtual activity. We had 811% growth in attendees to our annual conference because of that. So we were able to dramatically drive up engagement while dramatically raising our costs. We use Twitter more often, both at the corporate level and I as the Chief Executive, I have 775,000 Twitter followers now and that is up by something like 600% or so over the past six months. So we've got dramatic growth there, and we're able to use that in order to deliver messages and information to customers, to prospects and to investors. We're utilizing YouTube a lot more. The corporate MicroStrategy YouTube channel had 1000% growth year-over-year in views, and it's exploded. We did a keynote for MicroStrategy World with myself and Ross Stevens that ended up streaming 500,000 sessions, just that one keynote and to reach 500,000 people with a session, of course, is a game changer for us compared to the way we used to communicate. I engaged in a Bitcoin versus gold debate and we released that on YouTube, that's had 530,000 views in seven days. So we are getting the point now where we're able to reach audiences half a million or more and that has helped us build our corporate brand and it has helped us to build our reach with new constituencies of Bitcoin holders, of investors, of customers, of prospects and would be employees and recruits not to mention their families. So I would summarize that as to say we're utilizing powerful marketing platforms and we're expanding our reach dramatically, and we're doing it in a much more efficient way. And I anticipate that we'll continue with that and we'll build on those successes over the last year going forward in 2021. We have two strategies as you know. We have the enterprise software strategy to sell business intelligence software, that's our core business, and we have the Bitcoin acquisition strategy to acquire and hold Bitcoin. Phong laid out our corporate results for the business intelligence business. I'm incredibly pleased to see that business growing. I think that in the last 12 months, the changes that we made to our marketing strategy and digital transformation of marketing, the digital transformation of our services, of our technical support, of our sales engineering, of our sales programs in general, and of our education all had a very constructive impact on that business. They help us to deliver a better product and to reach more customers and prospects. And so that's been a source of optimism for us and it's very auspicious looking forward. We have moved to streamline and to improve the productivity of our technical offering by emphasizing the cloud, by emphasizing ease of use, by emphasizing speed and performance and simplicity with our Hyper Now offering, our cloud offering and are soon to be Intel Now offering. Those have been well received by our customers and their linchpin for our business intelligence growth strategy moving forward. Switching gears to the Bitcoin strategy. The Bitcoin strategy is working out well. Of course, as Phong has pointed out, we've realized very, very strong capital gains in our investment program. Perhaps more importantly, we've established a balance sheet of approximately $5 billion of assets, primarily Bitcoin assets that give us exposure and give us a great way to protect our shareholders from monetary inflation and actually in fact benefit from monetary inflation. If we roll the clock back a year ago, we had approximately $500 million of cash assets and no expectation of any investment gain from those assets. And today, we have $5 billion in Bitcoin assets and as Bitcoin grows, the company is going to benefit, the shareholders will benefit. Clearly, if you're a MicroStrategy shareholder and you have a negative sentiment on Bitcoin, then we're probably not the right company for you, but if you have a positive sentiment about where Bitcoin is going to head, and then we have aligned our balance sheet and all of our shareholders' interests with that sentiment. The big activity with regard to Bitcoin in the quarter was the convertible debt issuance and Phong laid out the details. I just want to share a few observations. Whenever we think about financing activities, our number one concern is, is this going to be accretive to all of our classes of shareholders and is this going to improve the strength of the capital structure of the corporation over the long-term? So in this particular case, we did this financing at 0% interest. So that clearly is on the surface pretty positive because we certainly expect to get more than 0% appreciation and our use of proceeds. We also did it with a strike price or a conversion price of $1,432 a share. I think that's important because our previous conversion price for the previous convertible debt issuance was about $398 a share and of course the stock was trading substantially less 50%, you know, while we did a 50% premium. So the stock was trading just slightly less than $1,000 a share when we did this deal. That means that it's an accretive transaction for the equity holders, but it's also an accretive transaction for the holders of the first convertible debt issuance. We want to make sure that we're doing a transaction that they would view as being accretive and in their best interest. And so now we actually have equity holders. We have holders of the first $650 million convert struck at 398 that was 75 basis points. We have the holders of the second convert struck at 1,432. As we go forward and we think about Bitcoin acquisition, clearly as we generate cash flows from the core business and excess of our working capital needs, we will convert that into Bitcoin. And of course that's a straightforward accretive transaction for us because we expect Bitcoin to appreciate at a far more rapid rate than the yield we could get on the U.S. dollar. We even expect Bitcoin to appreciate at a rate faster than the likely organic growth rate of our enterprise software business and I think that's an important nuance as well, but perhaps it's equally useful to say that we don't know really see a strong need for cash to grow our enterprise software business. We believe we can grow our enterprise software business based upon our existing working capital balance – allocated. So cash and excess of that working capital would be a non-performing asset on the balance sheet if we just left it in traditional treasury. So converting it into Bitcoin allows us to increase our exposure to what we think will be the fastest growing asset that we could reasonably hold. As we look forward, Phong pointed out, we've left the door open to issue equity or debt. There are lots of different types of debt or equity we might pursue. We're always considering is it in the best interest and is it accretive to all of our classes of shareholders and is it going to be a stabilizing constructive addition to our balance sheet? There are certainly types of financing we can do that would either create risk if we're marking our position to market against collateral, which is changing every day. That's not something that we're enthusiastic about. If we were to finance a fixed asset of the company at a reasonable interest rate and it wasn't otherwise finance, then we'd probably pursue something like that. From time to time, we'll see different options and we're always looking obviously the state of the bond market, the state of the equity markets, the state of the convert markets and the state of other structured financing markets will determine what we view as being accretive and of course the price of Bitcoin, so we keep all our options open. But I do want everybody that is a shareholder of the company to know that while we could do many things, we will probably reject most things as not being accretive to the interest of all of our classes of security holders. And when we find something that we believe is a good idea, then we'll pursue that. Looking at the outlook of Bitcoin going forward. We think that the last 12 weeks were really good for a Bitcoin and for the adoption of Bitcoin as a treasury reserve asset throughout the rest of the corporate world. I mean, as, as everyone knows we saw many other U.S. publicly traded companies buy Bitcoin during the quarter. We're starting to see international companies in Korea, Japan, Hong Kong, buying Bitcoin, and putting it on their balance sheets. Of course, many private companies and high net worth offices are putting it on their balance sheet and institutions. I am heartened by the degree of adoption of Bitcoin as a treasury investment option across the general financial landscape. The actions that we're seeing from JPMorgan, Goldman Sachs Morgan Stanley, the analyst reports from Citigroup all of the Bitcoin ETF sitting for approval before the SEC right now, the success of international Bitcoin ETFs and the engagement of big tech companies like PayPal and Square to integrate with Bitcoin. The rollout of Bitcoin availability of Venmo, these are all auspicious. I thought that the direct offering of Coinbase and the fact that now the largest U.S. exchange for Bitcoin is also a publicly traded company, I thought that was very auspicious for the space. So generally I thought that the first quarter and the last 12 weeks have been just really good ones for Bitcoin. There are lots of concerns about where does Bitcoin sit, vis-a-vis the U.S. dollar and currencies especially over the past six months. I think that that it's becoming emerging and clear that the world is going to settle into billions of mobile wallets. And those mobile wallets are going to hold a selection of digital currencies and a selection of digital assets. And the strongest digital currency is going to be the U.S. dollar. The U.S. dollar is going to drive everything. And the U.S. dollar is spreading to millions – hundreds of millions and then billions of these mobile wallets. I think the strongest Digital Asset clearly as Bitcoin and what people are beginning to realize is that Bitcoin is going to spread everywhere in the world and the U.S. dollar is going to also spread everywhere in the world on top of the Bitcoin crypto rail. What's good for Bitcoin is good for the U.S. dollar and vice versa. The U.S. dollar is emerging as a medium of exchange and the preferred medium of exchange everywhere in the world, especially in countries with weaker currencies, and Bitcoin is emerging as the preferred open digital monetary network. And the advantage of the Bitcoin network is it thousands, if not tens of thousands of companies all to exchange value with each other to synchronize and to settle across all jurisdictions, across all nations everywhere in the world, across time zones and across applications and they can all build to the same open protocol. So Bitcoin is emerging as the base layer for the 21st century FinTech economy. It's an accelerant to the spread of digital currencies. It's an accelerant to the spread of digital assets, and of course it's an accelerant to the integration of sophisticated FinTech offerings on mobile devices that are currently exploding in popularity as we see with Square, as we see with Venmo, PayPal and the like. As we look forward, we will continue to execute our two strategies of growing our enterprise software business intelligence business, and acquiring and holding a Bitcoin. We're going to do it because they're both working very well over the past 12 months and even more importantly, they're very synergistic with each other. Our employees are happier than ever over the last 12 months. In fact, our annual attrition is down 28%, almost 29% year-over-year. The engagement of the employees, and there moral is up 3% year-over-year, and so we believe that it's been really good for recruiting. It's been really good for employee retention, is very good for employee morale. Our digital transformation of our operations has been very good for engagement and for work-life balance and has allowed us to agilely navigate all of the restrictions and all of the constraints we've needed to deal within last 12 months. Our Bitcoin commitment has elevated our brand dramatically in the world. Everywhere we go, MicroStrategy's name that's been heard of. The Bitcoin community is adding something on the order of 10 million people a month, perhaps even more millions a week. And that means that we will approach more than 250 million people in the Bitcoin community by the end of this year. Our leadership stance with regard to Bitcoin has generated lots of goodwill for us in the Bitcoin community. It's good for our marketing. It's good for our sales. It's opening doors for us. It's generating goodwill in our sales service operations everywhere. Our customers are happier. They like to see that we're taking a leadership role here. And so not only has been beneficial to our employees, but it's been best beneficial with our customers and our partners and we're able to get our message out and be heard more effectively than ever before. So our Bitcoin strategy has made our brand stronger, and it's really a corporate strategy. Over the last 12 months, we've strengthened our balance sheet. We've created an endowment at MicroStrategy that allows us to take the long-view and we've made clear what we stand for and to everyone in the world and every single week there are two to three more million – 3 million people more that care about this thing. So we'll continue to educate the world on Bitcoin or continue to educate corporations and do everything we can to make it easier for other companies, public and private to adopt Bitcoin strategies. We'll continue to acquire Bitcoin by any means that's means that accretive from time-to-time when we have the opportunity, we're going to continue to enhance our core product and market our core product down all of these channels, including Twitter and YouTube and our website. And we're more enthusiastic now than we have been in a long time. 2021 is looking like a really good year, and we've got a really good plan and a really good set of techniques ahead of us that we can rely upon to grow the business and to create shareholder value. So I want to thank everybody for your support. And at this point, I'll go ahead and pass the floor back to Jeremy to take questions.
A - Jeremy Price: Alright. Thank you, Michael. We're going to jump right in. We've got lots of great questions. And so the first question is going to be for Phong. The comment and question or perpetual license growth was one of the strongest growth rates you've seen in many years. Yes, easy comp, but it was impressive. What is driving this? Was it perpetual versus cloud?
Phong Le: Yes. So we saw strength in both our perpetual growth and our cloud growth, which we're pretty excited about. As you mentioned, the comp was easy year-over-year we were up 69% in perpetual license revenue, but even compared to Q1 2019 we were up 16%. And on the cloud side, we were up 26% year-over-year and our cloud billing this is up 19% year-over-year. So all those metrics are some of the best that we've seen in history, and I would say we've seen growth on both sides. The reason why we're still seeing growth in perpetual; two drivers, one is our existing customer base is primarily large enterprises and for them moving to cloud will take time. And so we want to be a part of that impetus, but many are still buying on prem and obviously we're not going to turn that down. And the second key factor is we are also actively moving people off of perpetual maintenance, which you see in our product support line and moving them to term licenses, which will show up in product license revenue. So that's another driver or some of that growth that you're seeing. But overall we're very happy with the growth rates in Q1, whether you compare it to 2020, 2019, or in the years, recent years before that.
Jeremy Price: Great. Thank you, Phong. Next question is for Michael. Post the convert, I'm wondering if you could go into more detail on how you might further use the balance sheet to acquire more Bitcoin.
Michael Saylor: Well, I think so far we've done two financings both of them are unsecured. So that means that we have not pledged any assets on our balance sheet as part of any future financing. So we've got a lot of options as to whether we pursue secured financing and we pursue more unsecured financing or we look to pledge additional collateral either cash or Bitcoin to financing. We don't have any concrete thing to announce at this point and so we're just always evaluating different options. When we have an option that we find to be compelling and accretive, then we'll pursue it and we will make that announcement at the appropriate time.
Jeremy Price: Great. Thank you, Michael. Next question for Phong. Can you give some more color on the license revenue strength and the mix between net new up sell, perhaps by verticals and regions where you see a faster recovery versus areas of weakness?
Phong Le: Yes. I wouldn't say that there were any particular surprises versus previous trends, right? Like on any particular quarter, we generally average around 20% of our revenues from new customers and 80% of our license revenues from existing customers and that was similar for Q1. Although we're seeing more leads, as we mentioned with net new prospects as they come on, they typically purchases smaller dollar amounts starting upfront and then we'll expand over time. As far as industry breakdowns go similar breakdown as we've seen in the past technology in particular, retail, financial services, federal government sectors, healthcare were all very strong for us in Q1. So I would say we're continuing to play to our strengths and we'll probably continue do that and we will see some expansion over time of prospects especially.
Jeremy Price: Thanks Phong. And maybe a follow-on to that: one question is around what drove the pickup in the large deal activity. And can you talk a little bit about what you're hearing from customers when they're purchasing tensions and how this might translate to growth in license revenue going forward?
Phong Le: Yes. I'll take the second part first purchase intentions. We are seeing and expanding of investment in enterprise analytics in general, especially the enterprise part of analytics. I think a lot of corporations are realizing how important things like forecasting and scenario analysis and real-time analytics and understanding supply chains, et cetera, all those things became very important last year. And I think what corporations realize as you kept patchwork solutions. You can't put in departmental dashboards in place of enterprise analytics. You can't have ungoverned data. All of the things that we were competing against everyone realizes you need a true enterprise analytics solution for a large corporation to be able to differentiate and to be able to primarily deal with a lot of external changes, which is what whole last year was. So large enterprises I think are coming back to us and we are focused on bringing in large deals and we did well in Q1. The other big piece that I mentioned is our OEM business and that continues to do really well. And generally speaking, when we sell the OEMs to embed our software and theirs, those tend to be larger sized deals also.
Jeremy Price: Okay. Next question, Michael, as we move more towards a digital society and MicroStrategy is firmly placed substantial, suitably to achieve further growth. What are some concerns that keep you up at night from a CEO perspective? And secondly, do you have plans to incorporate blockchain into related technologies within your products and services?
Michael Saylor: I think it's an exciting time right now, as we see the digital transformation, the society and I think people understand that, that there's a big digital transformation of their P&Ls and their operations, but we've been big advocates and evangelists for the digital transformation of the balance sheet and the conversion of analog assets and conventional treasury assets into digital assets like Bitcoin. What keeps me up? I think the big challenge is to educate the marketplace. There's a lot of education that we need to do, and to that effect we've uploaded all of our playbooks to hope.com. We've got lots of education materials at hope.com. We have a curated the best and the brightest, the books, papers, resources, reports that we can, we make them available and we're continuing to invest in synthesizing better education materials so that other corporations and other investors can rapidly get educated on what is Bitcoin? What is this digital monitoring network? Why is it important? And how can they best craft their Bitcoin strategy?
Jeremy Price: Thank you, Michael. And Phong one for you. Will there be dividend payouts or stock splits now or in the future?
Phong Le: Maybe. I don't think we really comment on our capital allocation and dividend payouts and stock splits and those kinds of things, but they're all, they're all things that we consider from time-to-time.
Jeremy Price: Thanks. And one, let's say, stay on the topic of accounting. What exactly is the $265 million cumulative impairment charge and what does it consist of?
Phong Le: Yes. It's a great question. The way the accounting for intangible assets work is we have to assess them every single quarter for impairment charges. And with Bitcoin, we take a look at what is the lowest price of any particular Bitcoin that we carry and we impair it down the lowest price. It's a sort of precedent GAAP accounting. It is a little bit unusual and we take an impairment as a result of that. That's the reason we reconcile to what we call non-GAAP results. Also we should take out that impairment charge and take out share-based compensation and show our results without those charges. And we also share what we – most of our investors see as our actual market value of Bitcoin, in addition to the book value of Bitcoin.
Jeremy Price: Thanks, Phong. And let's shift back to Michael, and this might be Michael and Phong. Can you share some direct commentary you heard from CEOs and CFOs about how they might incorporate Bitcoin into their broader treasury strategies during your customer event?
Michael Saylor: I'll start and then Phong can go. I think that I've had a number of conversations with management teams and CEOs, and I think they're very interested in what we did, why we did it, the outlook for Bitcoin and then the legal accounting, regulatory and execution issues. And for large companies, sometimes I speak with them directly and then for smaller companies and for follow-up, we direct them to all the content we've got on the website, and that's been very popular and well received.
Jeremy Price: Phong, any additional comments?
Phong Le: Yes. Just in general, I mean, you're seeing in the results. We see it in our leads also, there are folks who are just discovering MicroStrategy either through digital channels or through our website, and Michael mentioned the traffic. MicroStrategy world is a big lead generation event for us. So the fact that we have 5X the number of people attend, all those things end-up creating more leads for our software business, which end-up creating overtime more revenue. It also creates an energy; I talked about it a little bit sort of this energy of us being a forward-leaning technology company. There's a lot of positives that come with that in a halo effect into our BI business also. And so that all is very positive. That said a lot of – a big part of the reason why we're starting to see success as we laid this groundwork over the last five years, right. We rolled out MicroStrategy 2019. In 2019, we upgraded customers aggressively and those customers that upgraded to our latest version of our software are starting to see the value of it and are willing to invest more into the company MicroStrategy. And so things that we've done over the last three, four or five years are starting to see results in positive aspects of that too.
Jeremy Price: Thanks Phong. We have time for one more question, I think so. For Michael and maybe Phong at the end. You mentioned that Bitcoin thought leadership is driving inbound software leads from new customers. Can you elaborate a little bit more on that?
Michael Saylor: Alright, just for me or for Phong?
Jeremy Price: I think it's a – it was directed towards you, but I think Phong will have something to say as well.
Michael Saylor: I just think that the lead flows much higher because people know about us and they're aware of our company, our brand and our products and what we stand for. And because Bitcoin is the most explosive and most exciting idea right now in mainstream investing, that means that our name gets associated with it a lot. Today on CNBC they had their annual draft where they drafted the Top 10 investment ideas for the year, and the number one draft pick was a Bitcoin and the other announcers were kind of irritated. They didn't get the draft Bitcoin. So I think that we benefit by association and it drives other types of lead low to us.
Jeremy Price: Any other thoughts Phong?
Phong Le: No. I think Michael got that either. I don't have anything to add to it.
Jeremy Price: Okay. Alright. With that, thank you everyone for the thoughtful questions. This concludes the Q&A portion of the webinar. We'll now move on to closing remarks from Michael.
Michael Saylor: Well I want to thank all of our shareholders. Thanks. Thanks for logging into this call. And thank you for your support. We do appreciate it. I will look forward along with Phong and Jeremy to seeing you in 12 weeks, and until then all the best.